Executives: Michael N. Mears – Chairman of the Board, President & Chief Executive Officer of Magellan GP, LLC John D. Chandler – Chief Financial Officer & Senior Vice President of Magellan GP, LLC
Analyst : Darren Horowitz – Raymond James Kathleen King – Bank of America Merrill Lynch Brian Zarahn – Barclays Capital Market John Edwards – Credit Suisse Elvira Scotto – RBC Capital Markets 
Operator:  Welcome to the Magellan Midstream Partners third quarter 2012 earnings result conference call. Today’s conference is being recorded. At this time I would like to turn the conference over to Mr. Mike Mears.
Michael N. Mears : Good afternoon and thank you everyone for joining us today to discuss our financial results for the third quarter of 2012. Before we get started I’ll remind you that management will be making forward-looking statements as defined by the SEC. Such statements are based on our current judgments regarding some of the factors that could impact the future performance of Magellan. You should form your own opinions about Magellan’s future performance based on the risk factors and other information discussed in our filings with the SEC.  During this busy earnings season our thoughts are with those impacted by the storms in the Northeast. As you know, Magellan has employees and assets that were in Hurricane Sandy’s path and we are pleased to report that other some water at the facilities, our terminals and people handled the storm very well. Our assessment at this time indicates no significant damage and the facilities are in the process of being restored to operation. We appreciate all that our dedicated employees have done to diligently implement our safety procedures in advance of the storm and getting the assets back operational now that the storm has passed.  Now, on to earnings. We reported third quarter net income per unit of $0.22 per unit this morning which was heavily impacted by mark-to-market accounting on our NYNEX hedges. Normalizing for those mark-to-market adjustments which we generally exclude from our guidance, we generated net income per unit of $0.35. Our normalized net income per unit is slightly less than our normalized third quarter guidance of $0.38 primarily due to the timing of gasoline sales that were produced in the third quarter from our blending activities that weren’t sold until the fourth quarter. As a reminder these pre unit amounts do reflect our two for one unit split that we completed at the close of business on October 12th. We also recently increased our quarterly cash distribution to $0.485 per unit which keeps us on track for 18% annual distribution growth for the year while continuing to generate a healthy distribution coverage of 1.2 times year-to-date.  I will now turn the call over to our CFO John Chandler to discuss our third quarter results versus the comparable 2011 period. Then I’ll be back to discuss our forecast for the rest of 2012 and the status of some of our large growth capital projects.
John D. Chandler : Before I begin discussing specific business unit performance I want to mention that I will be commenting on the non-GAAP measure operating margin which is simply operating profit before G&A expenses and appreciation and amortizations. A reconciliation of operating margin to operating profit was included in our earnings release this morning. Management believes that investors benefit from this information because it gets to the heart of evaluating the economic success of the partnership’s cooperation.  As noted in our press release this morning we reported net income of $50.5 million this quarter versus net income of $110.2 million in the third quarter of 2011. It is important to note that both periods were significantly influenced by out of period hedge gains and losses with the third quarter 2011 benefiting from $30.5 million of out of period hedge gains and the third quarter of 2012 being negatively impacted by $29.8 million of out of period hedge losses.  If you factor out the out of period activity net income between the periods actually increased by about $600,000 or about half a percent. Details reflecting the out of period activity can be found on our distributable cash flow reconciliation to net income which can be found attached to our earnings release this morning. On that reconciliation you will also see that our distributable cash flow for the quarter increased $6.7 million or 7% versus the third quarter of 2011.  Again, factoring out the out of period hedge activity, the quarter benefited from profit increases in our pipelines where we benefited from higher pipeline shipment volumes, higher tariff rates in a majority of our pipeline systems, higher commodity related profits and even higher throughput on our ammonia pipeline system. Those increases were mostly offset by higher G&A, depreciation and interest expense. As is usual, I’ll go through the operating margin performance of each of our business lines and then discuss variances in depreciation, G&A and interest to come to an overall explanation of the variance in net income. First, let’s look at operating margin which was down $50 million versus the same period last year. Again, factoring out the out of period activity it was actually up $10.3 million when you exclude those out of period activities.  Our petroleum pipeline system saw operating margin decrease $51.4 million versus the same period last year going from $149.1 million to $97.7 million this period. The out of period hedge activity explains $60.3 million of this variance. So if you exclude that, all the other activities for the pipeline netted to an aggregate increase of $8.9 million in profit. Our transportation terminals revenue for the pipeline were $18.1 million more than the same period last year. This increase can be described entirely by increased tariff revenues as a result of higher average tariff rates and higher shipment volumes. Shipment volumes for the period were 20.3 million barrels or 19% more than the same period last year. A big portion of this increase in volume came from our south Texas pipeline system where volumes shipped at much lower average tariff rates, in fact that rate is around $0.30 per barrel.  In fact, if you break out the south Texas pipeline system where volumes increased 18.3 million barrels that leaves two million barrels or about 2% volume increase on the remainder of our systems. The south Texas system increased in large part due to crude shipment increases coming from connections our system has to new crude coming into the eastern area. With more than 70% of this quarter’s crude increase resulting from new crude coming in from the Eagle Ford shale. Crude throughput also has increased due to the expanded connectivity of our system and higher utilization from existing customers. The south Texas system also benefitted from the increased gasoline shipments due in part to the fact that the refined products segment of the south Texas assets were down in August of last year due to some hydro testing. Again, other than the south Texas assets, the rest of our pipeline system saw a two million barrel increase mostly due to higher LPG shipments with increases in gas lead shipments being offset by lower diesel shipments. The increased LPG shipments were the result of shippers transporting product under a tariff versus historically having shipped those volumes through a lease they had with us and that revenue showed up as capacity lease revenue historically.  Tariff rates for the period went from $1.12 per barrel last year to $1.09 per barrel this year or a 2.6% increase. Now as mentioned with the volumes we shipped significantly more volume on our south Texas pipeline system which ships at a much lower average tariff rate again, around $0.30 per barrel. Therefore, if you factor that system out, the tariff on the remainder of our pipeline systems increased to $1.46 per barrel versus $1.34 per barrel last year or an approximately 9% increase in rates. Obviously, a major contributor to that variance is the fact that we raised rates on July 1, 2012 in all of our markets by approximately 8.6%.  Moving on to product margin. Operating margin from the commodity related activities for the pipeline decreased $59.8 million versus the third quarter of 2011 going from $40.6 million last year to a $19.3 million loss this quarter. Again, these results are heavily impacted by out of period hedge gains in the third quarter 2011 and out of period hedge losses in the third quarter 2012. If you factor these items out again, representing about $60.3 million of this variance, our operating margin for commodity related activities actually increased by about $500,000 more than same period last year. You can arrive at this number by taking the product margin from our income statement and make the adjustments identified as commodity related adjustments on the DCF reconciliation page attached to our press release this morning.  Higher butane blending profits for this quarter were offset by lower fractionation profits and lower profits on the Longhorn buy/sell activity. Our blending profits benefitted from higher volumes and higher rates with our blending volumes increasing in part due to an increased focus on blending on our Texas pipeline assets which included capital investments that we made in our blending systems in the system over the last year or so. Our petroleum pipeline expenses were $9.5 million more than the same period last year. The increase in expense was primarily due to higher asset integrity expenses partly just due to timing as more work was completed in the third quarter of 2012 than in the third quarter 2011 but also due to the fact that we planned to do more integrity work in 2012 as part of our long term cyclical integrity plan.  Also, we had higher property taxes as our pipeline has been impacted by higher assessments due to the growing profitability of the system and we had higher asset write offs as we retired some inactive pipe during the quarter and also we had higher environmental accruals. These higher costs were offset somewhat by higher pipeline gains which were favorable because some of the inventory we carry in our over and short balance increased in value because of rising commodity prices during the quarter. Operating margin for the petroleum terminals group was down by $4.2 million or about 10% versus the same quarter last year. Our [terminaling] revenues in the terminals group were $2.3 million more in the same period last year with essentially the entire increase coming from our storage terminals where revenues increased predominately due to tank additions at our Cushing tank farm, tank additions at Marrero Louisiana and rate increase with the most significant revenue increases coming from our Galena Park and Corpus Christi Texas marine terminals. Our average lease storage utilization rose by 1.2 million barrels for the quarter going from 33.1 million barrels per month leased for the third quarter of 2011 to 34.3 million barrels leased for this quarter. Of this amount, 1.3 million barrels of the increase came from incremental crude storage that came online at our Cushing storage last year all backed by long term contracts and an additional 500,000 barrels coming online at Marrero Louisiana offset somewhat by tanks taken out of service for maintenance at our Galena Park Texas terminal. Net product margins for the terminal segment was about $500,000 more than the same period last year largely due to transmix sales at our marine terminals and terminal expenses in the terminal segment were $7 million more than the same period last year largely due to a $5 million accrual for environmental liabilities at our Corpus Christi terminal. When our predecessor acquired this facility in 1999 they agreed to take back over continuing remediation at this site in 2014. We have recently estimated the potential liability for these sites resulting in this $5 million accrual. In addition, we experienced higher integrity expenditures at our other facilities due to increased tank inspections and tank work which we expected coming into the year and higher compensation expense associated in part due to the additional personnel given the growth of our storage business.  Finally, consistent with our expectations given that our integrity testing is behind us on our ammonia pipeline system, our ammonia operations generated operating margin that was $5.7 million more than the same quarter last year going from a $1.7 million loss last year to a $4 million gain this quarter.  Transportation revenue for the ammonia pipeline were up $3 million from the third quarter 2011 as a result of shipment volumes increasing 76,000 tons and average rates increasing approximately 10%. In part the rate increases were the result of the tariff rate increases of about 8.6% that occurred at July, 2012 as well as more full rate tons being shipped on the pipeline system. Shipment volumes for the ammonia system are higher in part because during the third quarter 2011 volumes were negatively impacted by hydro testing and some pipe relocation efforts that we were doing at certain river crossings. Expenses for our ammonia system were down by $2.7 million this quarter due largely to lower integrity expenses as the pipeline hydro testing and pipeline relocation were largely completed in 2011. Therefore in summary, those are the reasons operating margin for the quarter decreased $50 million going from $188.5 million to $138.5 million this quarter. Now going to net income, depreciation was up $1.5 million due to capital additions. G&A expenses were up $7.1 million due largely to higher bonuses and higher equity based incentive compensation accruals both of which are due to strong financial results from Magellan and incremental costs for equity awards given our growing unit price and interest expense net of interest income and capitalized income was up about $1 million primarily as a result of $50 million in additional average borrowings outstanding for the third quarter 2012.  During the third quarter 2011 we proactively issued $250 million in debt to take advantage of the low rate environment and to help prefund future expansion capital. As a result of that offering we retired $95 million of revolver debt that was in place during the third quarter 2011 with higher costing permanent notes. During the third quarter of 2011 we had no borrowings outstanding on our revolver and we had no debt that was swapped floating. Therefore in total, MMP’s net income decreased $59.7 million going from $110.2 million for the third quarter 2011 to $50.5 million in the third quarter 2012. However, again factoring out the $60.3 million variance for out of period hedges, net income actually increased again by about $600,000 or about half a percent. Our leverage metrics include $2.1 billion in debt outstanding at the end of the third quarter of 2012 and after reducing for cash on a balance sheet of approximately $100 million at the end of the quarter we had net debt of $2 billion resulting in a net debt to EBITDA ratio of 3.0 times for the last 12 months. As of the end of the third quarter 2012 our $800 million revolver had zero borrowings outstanding. I’ll now turn the call back over to Mike to discuss capital projects and ECF guidance for the remainder of 2012.
Michael N. Mears : Despite the [inaudible] noise we saw in the third quarter we remain on track for a record year in 2012 and have once again raised our annual distributable cash flow guidance by $5 million to $525 million. Our assets are performing well this year experiencing both increased throughputs and increased storage levels, and we also continue to see strong margins from our commodity related activities.  We had a number of items negatively impact our cash flow in the third quarter such as product sales deferred to the fourth quarter, a large one time environmental accrual related to an asset acquired by our predecessor, increased integrity expense spending due to timing and increased property tax and incentive plan accruals due to our record financial performance. In spite of these changes our third quarter distributable cash flow increased by 7% compared to the same quarter last year. With regards to our commodity activities about 80% of our fourth quarter blending volumes are hedged and about two thirds of our blending volumes for the first half of 2013 are hedged. The majority of these hedges were put in place prior to the recent price weakness we have seen in gasoline. Since we’ve just experienced a quarter that had large commodity price movements which resulted in large negative impact to our earnings due to unrealized NYMEX mark-to-market adjustments I wanted to reiterate that we do not speculate on our commodity activities. We generally hedge 80% of our projected blended volume by purchasing blend stocks in advance and locking the related margins on 100% of this inventory with NYMEX contracts. For the remaining 20% we’ve purchase blend stocks near the time we expect to blend only doing so if margins are favorable for blending at that time. Sometimes this is difficult to see from the reported financial statements but I can assure you that we manage these activities in a conservative manner and we don’t put ourselves in a position where we could lose money from these activities. Also as a reminder, these activities only generate about 15% of our operating margin and this percentage is expected to decrease over time as our pipeline and storage growth projects come online over the next year. Speaking of growth projects, we continue to make excellent progress on our larger expansion projects which are proceeding as expected for startup in 2013. We’ve spent about $220 million on growth capital through the first three quarters of this year. We expect to spend a total of $450 million on growth capital during 2012 with another $280 million in 2013 to complete the projects currently under construction.  You may note that we’ve adjusted the timing of our growth capital projections slightly but the overall growth capital projects are under construction have increased by $30 million during the third quarter. Clearly a large portion of this spending is related to the reversal and conversion to crude oil of our Crane to Houston pipeline. We have purged the line of refined products and are in the process of reversing pump stations, converting existing storage to crude oil service and construction additional storage and pipelines in the Houston area and at Crane. We appear on target to spend approximately $375 million on the total project and subject to receiving the necessary permits and regulatory approvals begin moving at least 75,000 barrels a day of crude oil to Houston in early 2013 increasing to the full 225,000 barrels a day capacity during mid 2013. Our Double Eagle project is progressing with partial capabilities expected during early 2013 and full operation in mid 2013.  Crude oil volumes transported on our Houston area crude oil distribution system have been growing rapidly. We expect to complete our new pipeline from Genoa Junction to Speed Junction in the fourth quarter. This new pipeline will significantly enhance the capabilities of our Houston area crude oil distribution system and will position us to more efficiently move even higher volumes of crude oil to the Houston area refineries as domestic production continues to grow. We also placed into service 1.2 million barrels of refined product storage some of which is jointly owned at Galena Park Texas in October and have an additional 600,000 barrels of storage expected to be put into service in early 2013. We also continue to actively develop the potential BridgeTex pipeline with Occidental Petroleum. The open season for this pipeline was concluded in July and was a success. As currently contemplated we would own 50% of the joint project with our share of the cost expected to be around $600 million. We remain in advanced discussion with Occidental but a final decision won’t be made until the completion of definitive agreements so our current growth capital spending estimates do not include funding for this project yet. Engineering and design work as well as preparation for right of way acquisition has been proceeding since this past summer so the project [inaudible] has been maintained and we still expect the mid 2014 start up if we do indeed move forward on this joint project. In addition to the BridgeTex pipeline we continue to review other potential growth opportunities with our potential project pools still well exceeding $500 million.  While we see potential expansion opportunities in all of our business segments crude oil pipeline and storage prospects still make up the vast majority of our potential organic project list with about 80% of the current list of potential project growth opportunities related to crude oil. As always our business development group continues to analyze acquisition opportunities with a number of petroleum assets on the market as we speak. We intend to maintain our disciplined approach to acquisitions only acquiring assets with what we deem to be an appropriate risk/reward balance. That concludes our prepared remarks and operator we can now open the line for questions.
Operator:  (Operator Instructions) Your first question comes from Darren Horowitz – Raymond James.
Darren Horowitz – Raymond James: Just a couple of questions, first the $1.2 billion in aggregate costs around BridgeTex does that reflect that previously stated 278,000 barrels of capacity?
Michael N. Mears : To be clear, all we’ve disclosed here is our portion of the capital which is $600 million. The second part of your question is the current projected capacity of the pipeline is 300,000 barrels a day.
Darren Horowitz – Raymond James: Moving to a couple of the comments you just talked about, as it relates to BridgeTex and the Longhorn reversal when you think about a lot of the downstream infrastructure how do you think about the scale that’s going to be necessary to handle that volume? We can look at your additions in Houston and in Galena Park in terms of storage capacity, you’ve got the Speed to Genoa connection that you just talked about, but even further south of that how do you lever that footprint to get greater connectivity into the Texas City market?
Michael N. Mears : Well, we’re looking at that. I mean, that’s something we’re constantly evaluating. But I’ll remind you that part of the scope of the proposed BridgeTex project is a brand new 24 inch line from East Houston down to Texas City. So that’s included in the scope of BridgeTex, to further build out that distribution system. 
Darren Horowitz – Raymond James: Mike, does it make any sense with everything coming into East Houston or even possibly down to Galena Park or at Speed, to think about moving product further east? Even further east beyond Oil Tanking’s terminal? Possibly even over to Exxon’s Baytown facility?
Michael N. Mears : Well, Exxon’s Baytown facility will be connected. Our system connects to a pipeline they own at Genoa junction. There’s other potential connection points to get crude oil into Exxon Baytown. So we would fully expect to have that connectivity in place. If fact that connectivity is in place today to move crude oil through our system to Exxon’s Baytown. I don’t know if that answers your question or not but we fully contemplate having that capability.
Darren Horowitz – Raymond James: I’m just thinking about the movement of barrels further east. I know that Enterprise has that line at Echo that’s going to be moving over to La Porte, but I’m just wondering how you think about crude flows continuing to ship to the east because it just feels like there’s going to be a pretty big supply push coming into East Houston, right?
Michael N. Mears : Well certainly and we would expect – we are preparing our East Houston facility to be an origin point into Shell’s Ho-Ho line. We expect to have full capability. I shouldn’t say we expect to have, we will have full capability to originate barrels at East Houston into Ho-Ho whether those barrels are coming from Longhorn or whether they’re coming from BridgeTex and we’re also looking at other capabilities to get other crude oil barrels in East Houston to be able to get into Ho-Ho. We’re not, at this point, looking at any additional pipe capacity east of Houston. We think Ho-Ho and Enterprise’s project is probably adequate at this point in time. We certainly plan to be in a position to deliver barrels into those systems to get the crude oil further east.
Operator:  Your next question comes from Kathleen King – Bank of America Merrill Lynch.
Kathleen King – Bank of America Merrill Lynch: Just one question, I’m wondering if you guys have any initial thoughts on how Marathon’s pending purchase of BP’s Texas City refinery could impact your assets in and around Texas City?
Michael N. Mears : Well, the short answer is it’s much too early to tell. But our assumption would be that it wouldn’t have a significant impact necessarily one way or another. Obviously, Texas City is going to continue the need to be supplied with crude oil and they’re going to need to be continue to distribute their refined products out of the facility. So our assumption at this point in time is that with regards to that the status quo will be maintained. But obviously, it’s still very early in the process until Marathon actually closes on the facility. We can’t really do much more than make that assumption.
Kathleen King – Bank of America Merrill Lynch: Just one more, could you guys repeat – I know the plan on the hedges is sort of to lock in the margin on the butane blending but how has the recent declines in gasoline prices impacted future margins of that business or have that not really at all?
Michael N. Mears : Well, the troughed margin as we speak is clearly quite a bit lower than it was two or three months ago. So we’re pretty well insulated from that in the fourth quarter since we’ve locked in 80% of our volumes with hedges. For the first half of next year, as I mentioned, we’ve got about two thirds of our volume hedged so assuming that those margins stay where they’re at then the opportunity around the blending is going to be lower than it was two or three months ago. However, I would emphasize that even with the reduction in gasoline prices recently, the margins on blending are still very strong. 
Operator:  Your next question comes from Brian Zarahn – Barclays Capital Market.
Brian Zarahn – Barclays Capital Market: On the gasoline pipeline volumes can you talk about is this a sustainable level? Are you seeing solid growth throughout the year on the sort of backdrop of soft demand nationally for gasoline?
Michael N. Mears : We really don’t have any indications to suggest that this is going to drop off. If we look at the growth on the South Texas systems, that’s really occurred partly because the lines were down last year. So if you’re comparing year-over-year we certainly think that’s sustainable growth simply because we expect to have our lines to continue to operate. If you look at the central system, we’ve seen some slightly growth there in gasoline. Our projections for the rest of the year really are pretty much to keep it at that level.  If we look at where that increase in volume has come it’s really come at a number of locations. It’s not one specific location that has driven that increase. It seems to be more systematic at numerous locations so we feel pretty good at this point that that is sustainable at least for the foreseeable future. 
Brian Zarahn – Barclays Capital Market: Then turning to BridgeTex, is there any additional color you could provide in terms of a potential decision? The timing that you think that you would have a decision on the project?
Michael N. Mears : Well, I can tell you as I said, we’re in advanced negotiations. The negotiations are in a very mature state. Other than that I hesitate to give you any kind of prediction on a precise date simply because that’s unpredictable when you’re in the process of negotiation. But I can tell you they are in a mature advanced state.
Brian Zarahn – Barclays Capital Market: Then on one of your other projects, on the Double Eagle pipeline, is there any update in terms of the capacity under contract?
Michael N. Mears : The contracted capacity remains the same as when we first announced the project and we’re still actively pursuing contracts there. I think I’ve mentioned this in previous calls, that even if we start up without additional contracts that’s not terribly concerning because we would expect them to be able to move spot barrels at a higher margin in that case. We think the opportunity for that is very strong. But to answer your question directly, we’re still contracted at about 50% of capacity on Double Eagle.
Brian Zarahn – Barclays Capital Market: Last one for me, looking ahead to 2013 you maintained your distribution growth guidance around 10%. Is it reasonable to assume excess coverage would be around $70 million or higher?
Michael N. Mears : The answer to that is we haven’t gone through our 2013 plan in detail enough to answer that question so I’ll probably need to defer that until January when we have completed our planning process for 2013 and we can answer that question.
Operator:  (Operator Instructions) Your next question comes from John Edwards – Credit Suisse.
John Edwards – Credit Suisse: I’m just curious, you mentioned that you’ve got over $500 million backlog of opportunities you’re still evaluating. I’m just curious are you seeing an acceleration of opportunities emerge or is it about the same? Can you just give us a flavor for how that’s coming together?
Michael N. Mears : I think the opportunity set for us has remained relatively constant. I don’t know if I would characterize it as accelerating. We’ve got a lot of projects that we’re evaluating. A number of those take a significant amount of time to evaluate and put together and there’s new projects that we add to the list every quarter and some places there are projects we take off the list in the quarter because they’re not going to materialize. I don’t know if I’d characterize it as accelerating. I think the level of opportunity there is pretty constant. 
John D. Chandler : Just one thing, somebody asked a question about excess cash flow next year. I would say when we made our 18% distribution increase in the second quarter we didn’t have a detailed plan that was in front of us but we did look into the next year. We obviously tell people given the kind of elevated state of the commodity environment we like to maintain around $75 million. We felt it was pretty reasonable that we had that kind of a level or we wouldn’t have affirmed that distribution growth into the next year of an expectation of 10%.
Operator:  Your next question comes from Elvira Scotto – RBC Capital Markets.
Elvira Scotto – RBC Capital Markets: Just a couple of follow up questions, on the BridgeTex if you do move forward with that project, that $600 million potential cost, would you expect returns similar to what you’ve done in the past on organic growth projects?
Michael N. Mears : Yes. Based on the commitments received during the open season it would be in the six to eight EBITDA multiple range. 
Elvira Scotto – RBC Capital Markets: Then with respect to the earnings per share miss, I think you had said that that excluding all the mark-to-market noise, attributable to the timing of product sales. Is that entirely attributable to the timing of product sales on the butane blending and if so have you sold all of that thus far in the quarter?
Michael N. Mears : The answer to your first question is yes and the numbers of barrels that were produced in the third quarter and not sold would account for that entire $0.03 per unit miss. As far as whether we’ve actually sold it or not, I don’t have an answer to that. We have the gasoline in stock, it’s available to be sold, whether or not it has or not I can’t answer that as of today. But our expectation is that it will be during the fourth quarter.
Elvira Scotto – RBC Capital Markets: My last question, did you say that that $30 million of increase in cap ex for projects underway represents new projects or is that just a cost increase on previously sort of announced projects?
Michael N. Mears : Those are new projects.
Operator:  (Operator Instructions) It appears we have no further questions in queue.
Michael N. Mears : I want to thank everyone for their time today and for your continued interest in Magellan. We remain focused on operating our assets in a manner that protects the communities we serve while providing important energy solutions for our nation. We’re pleased with our accomplishments to date and remain committed and excited about Magellan’s future. Thank you.
Operator:  That does conclude today’s conference call. We appreciate your participation.